Maria Caneman: Thank you for dialing in this morning. I am Maria Caneman, Head of Investor Relations here at Swedbank. Welcome to our fourth quarter 2025 results presentation. I'm joined today by our CEO, Jens Henriksson; and our CFO, Jon Lidefelt. Jens and Jon will start with their presentation, and then there will be an opportunity to ask questions. With that, I would like to hand it over to Jens.
Jens Henriksson: Thank you, Maria. 2025 was a successful year for Swedbank. The target of a sustainable return on equity of 15% was achieved. During 2025, the global economy was, despite tariffs and geopolitical uncertainty, more resilient than expected. A few weeks ago, the International Monetary Fund released an update to its world economic outlook. It revised the world growth forecast slightly upwards for this year against the backdrop of a steady and resilient economy. However, with renewed global tensions and strained public finances, global growth could be curbed. In our home markets, the economic situation continues to brighten, thanks to large investments and strong private consumption. In Sweden, the recovery began in the second half of 2025 and our economist expects growth of more than 2.5% in 2026. Lithuania had a strong development in 2025, and growth is expected to pick up further this year. In Estonia and Latvia growth also is likely to rise in 2026. In these times, Swedbank has once again delivered a strong result. For the fourth quarter, we saw a return of equity of 14.7%, and the return on equity for the full year was 15.2%. Costs developed as planned and the cost-to-income ratio was 0.36, both during the quarter and for the full year. Cost control is strategically important issue and is reflected in all parts of the Bank. Credit quality is solid. Earnings per share for 2025 amounted to SEK 28.98. The Board of Directors is proposing to the Annual General Meeting, a total dividend of SEK 29.80 per share of which SEK 9.35 is a special dividend on the basis of the bank's strong capital position. Our CET1 capital buffer then amounts to 3 percentage points. Swedbank has a strong capital and liquidity position. During the past few years, we have by strengthening governance and internal controls, improved work methods and investments in new technology created a stable foundation for the bank. Now we are looking ahead with increased focus on our customers. At our Investor Day in June last year, we presented our direction, Swedbank 15/27 and it has a clear customer focus. We will strengthen our customer interactions, grow our volumes and increase our efficiency. Availability and efficiency are fundamental. Succeeding in these areas will enable us to be even more proactive, meet more customers and do more business. And in these areas, we've already made significant progress. Our availability in Sweden increased significantly last year. In 2025, we had over 30% more calls with our customers than a year before. At the end of 2024, we answered 29% of incoming calls in Sweden under 3 minutes. At the end of 2025, that figure has improved to more than 80%. We're also constantly working to increase our efficiency. Digitalization and newly developed AI tools are simplifying our work and reducing administration, and we see continued great opportunities in this area. We are now taking the next step. Our business areas will gain more influence and control in developing their businesses. To sharpen our focus on customers, business and productivity, the work of developing services and solutions should be closer to those responsible for our customers. By refining and moving roles and responsibilities and working more efficiently, we can better meet customer expectations and develop our offerings. The acquisition of Stabelo and Entercard have been completed. This will also provide us with new business opportunities and I've had the privilege of welcoming all our new colleagues to the bank. These acquisitions and the changes we are now implementing are all contributing to our 15/27 plan. We are now working to update our strategies and plans for Entercard and in connection with our next quarterly report, we will present what this entails for the bank going forward. During the year, Swedbank's lending increased by SEK 108 billion, excluding FX effects. Of these SEK 47 billion was lending to corporates. Entercard and Stabelo contributed with SEK 44 billion, and private loans increased organically by SEK 17 billion. Our mortgage portfolio is growing and during the quarter, lending and mortgages increased by SEK 23 billion, excluding currency effects in Sweden -- sorry, currency effects. Of this amount, SEK 17 billion came from the acquisition of Stabelo. Lending volumes in our own channels in Sweden increased by just over SEK 4 billion. And that means we have doubled our market share of new mortgages sold in our own channels in 2025 compared to 2024, but that is not enough. We want to grow at least in line with the market. Savings continued the positive development and net inflows to Swedbank Robur amounted to SEK 11 billion during the quarter. At the beginning of 2026, Premium and Private Banking will celebrate 2 years as its own business area. We are expanding our customer base and we strengthened our premium offering during the quarter. The corporate business is developing strongly, both in Sweden and in the Baltics. In Sweden, our market share increased by 0.5 percentage points to 15.2% at the end of November. We have a competitive offering and a strong customer focus. By building sector teams in defense, food production, and forestry and agriculture, we strengthen our capacity to advise customers in these sectors. At the same time, we continue to focus on local business relationships with small- and medium-sized companies by strengthening our local presence. On September 1, our partnership with the new investment bank SB1 Markets was officially launched. They have had a good start in Sweden and have completed several deals. And as you know, Swedbank owns 20% of the SB1 Markets. Given the geopolitical tensions, we continue to strengthen our resilience. Swedbank has a good ability and preparedness to manage the associated risks. After the end of the quarter, Swedbank was informed that the U.S. Department of Justice had closed its investigation into the bank without enforcement. That leaves us with one American investigation ongoing evolving the Department of Financial Services in New York. We cannot assess when it will be concluded, whether we will get any fines. And if we do get fines, the size of such a potential fine. Finally, let me say a few words about the bank's social commitment. In 2025, we met more than 100,000 children and young people in Sweden and educated them in personal finance. And at the end of last year, Swedbank donated EUR 10 million to the Vilnius University Foundation to support growth and prosperity in Lithuania. These are just a few examples of our efforts to create financial health and economic stability in our home markets. With that, let me hand over to our CFO, Jon, who will deep dive into the numbers.
Jon Lidefelt: Thank you, Jens. Let me now walk you through the fourth quarter. We delivered a strong result with volume growth across markets and increasing income. We have continued our focus on long-term shareholder value through business growth and cost efficiency. Cost-to-income ratio in the fourth quarter was 0.36 and return on equity 14.7%. As you know, this quarter, we have consolidated both Entercard and Stabelo into our numbers. However, keep in mind that they did not add a full quarter effect. Entercard was incorporated as of December 1 and added SEK 27 billion of lending. Stabelo was incorporated as of November 4 and added SEK 17 billion of mortgages. The CET1 effect was in total 50 basis points in the quarter. As communicated earlier, we will de-risk Entercard's consumer finance business as the risk level is too high. The risk level for new lending has been adjusted. Our intention is also to divest Entercard's back book of consumer finance loans. And going forward, we will report it as held for sale. We have worked with strengthening our organization, and it will be effective as of March 1. The strategic review of Entercard is aligned with this and we will, hence, come back in conjunction with the Q1 report with more details and how this supports our 15/27 plan. Lending volumes grew by 3% in the quarter. Mortgage volumes in Sweden sold through our own channels increased by SEK 4.1 billion, while the savings banks reduced their mortgage volumes on our balance sheet by SEK 1.9 billion. Our Swedish mortgage front book market share in November sold through own channels was 11%, still below the back book market share of 18%. In total, with savings banks volumes on our balance sheet, we have a market share of 22%, the largest actor on the Swedish mortgage market. Stabelo's growth has picked up as Swedbank's strong balance sheet enables lending up to 85% in loan-to-value. In the corporate business in Sweden, the positive development continued with increasing volumes, mainly within the property management and public sector. In Baltic Banking, corporate loan demand continued to be strong across sectors, leading to a loan growth of SEK 5 billion in the quarter. Customer deposits increased in the quarter, driven by Baltic Banking, where we had a good growth in both private and corporate deposits. In Lithuania, deposits increased in the end of the year following the usual pattern due to the annual 1 month extra salary. In Sweden, private deposits decreased slightly as consumption is picking up. Corporate deposits in Sweden were impacted by end of year effects, mainly driven by the larger institutions as normal. Net interest income was unchanged compared to the previous quarter. We saw continued impact from lower rates. However, organic growth and acquisitions partly mitigated this. Higher business volumes had a positive impact of SEK 72 million in the quarter. With lower policy rates, our cash with central banks generate less income, but this is partly offset by lower wholesale funding cost. The Swedish Central Bank cut the policy rate effective as of first of October and ECB's latest rate cut was in June. By the end of the year, these policy rate changes were fully priced in. Hence, we should see the full quarterly NII effect of the rate cuts in the first quarter of 2026. Net commission income increased in the quarter, driven mainly by securities and corporate finance where the annual market maker fees contributed positively. We also had a one-off effect relating to the closure of some retail products, which were phased out several years ago. Asset management commissions benefited from strong net inflows of SEK 11 billion and positive stock market development, measured by assets under management, Robur is the largest player in the fund market in Sweden and the Baltics. Card commissions were lower in the quarter, in line with normal patterns. Net gains and losses increased from an already high level and amounted to SEK 982 million. Income was strong, driven by client trading. The treasury result was impacted by unrealized valuation effects in derivatives and equity holdings. The business activity remained high despite some seasonal slowdown towards the end of the year. Other income increased by 1%. Net insurance decreased, mainly driven by revaluation effects. A reminder of 2 things here, in the result from associated companies we now report the ownership stake of SB1 Markets and Entercard is fully consolidated since December 1. So in the fourth quarter, only 2 months are included under other income. As usual, also a reminder here that our collaboration with the savings banks include cost sharing, for IT development and administrative services. The savings banks share of the cost is included in Swedbank's total cost. And you can see the corresponding income under other income. We delivered on the 2025 cost guidance of SEK 25.3 million, which gives an underlying cost growth of around 3% adjusted for the VAT recoveries and the acquisitions. Costs in the fourth quarter were 4% higher compared to the previous quarter. But as you know, we had a number of moving parts this time. We have, during the fourth quarter, received VAT recoveries of SEK 963 million for the years 2019 to 2023. This including SEK 125 million for the year 2021. Our 2 acquisitions added SEK 180 million to the fourth quarter cost. So what does this mean for 2026? Our full year expenses for 2025 were SEK 24.5 billion. However, our underlying expenses were somewhat higher in total SEK 25.1 billion. This is due to the one-off VAT recoveries of SEK 1.5 billion, the temporary high investments of SEK 800 million and fourth quarter costs related to Entercard and Stabelo of SEK 180 million. Going into 2026, we also need to include the current run rate for our 2 acquisitions in order to have the correct starting point. These add SEK 1.6 billion, which together with our underlying expenses of SEK 25.1 billion gives a new starting point of SEK 26.7 billion. We expect costs to grow by approximately 3% in 2026, meaning costs of around SEK 27.5 billion. This is net of efficiencies, headwinds as well as investments and based on current FX rates. Strict cost control and focus on efficiency is key. Asset quality is solid. Total impairments for the fourth quarter amounted to SEK 355 million. The macroeconomic outlook has continued to improve and led to a release of SEK 186 million. Rating and stage migrations led to credit impairments of SEK 433 million mainly due to downgrades of a few corporate customers. This is partly offset by the continued release of the post-model adjustment, which now stands at SEK 131 million. The quarter also included effects from Entercard that in some increased credit impairments by SEK 415 million, mainly due to the SEK 354 million day 1 accounting effect for Stage 1 exposures. The estimated overall impact from Entercard going forward on the credit impairment ratio is an increase of 1 to 2 basis points. I feel comfortable with our strict credit origination standards and the solid collaterals that secure our lending. Our CET1 capital ratio was 17.8%. REA increased in the quarter due to lending growth and the annual revision of operational risks, which led to an increase due to the uptake of the rolling 3-year average income. Furthermore, as previously communicated, the acquisition of Stabelo and Entercard led to reduction of the CET1 capital ratio of around 50 basis points. The Board proposed a total dividend of SEK 29.8 per share of which SEK 20.45 is ordinary dividend and SEK 9.35 a special dividend. This reduces the buffer above requirement to around 300 basis points. Our capital target remains unchanged with a buffer range of 100 to 300 basis points above the requirement and over time we're targeting the midpoint, 200 basis points. To conclude, we continue to focus on growth and efficiency. We delivered strong profitability while maintaining prudent underwriting standards, strong liquidity and capital positions. With that, back to you, Jens.
Jens Henriksson: Let me now summarize. Swedbank has had a successful 2025. We delivered a strong result with a return on equity of 15.2%. The Board of Directors is therefore proposing to the Annual General Meeting, a total dividend of SEK 29.80 per share of which SEK 9.35 is a special dividend on the basis of the bank's strong capital position. Swedbank is well positioned for sustainable growth and profitability. We will strengthen our customer interactions, grow our volumes and continue to increase our efficiency. The future of our customers is our focus. And with that, I give the word back to you, Maria.
Maria Caneman: And we will now begin the Q&A session. I'd like to start with a kind reminder to please limit yourselves to 2 questions per turn. Operator, please go ahead.
Operator: We will now begin the question and answer session. [Operator Instructions] The first question comes from the line of Andreas Hakansson from SEB.
Andreas Hakansson: So first question on your net interest income. We saw some, of course, negative headwind in the fourth quarter from falling interest rates and you say that that's going to spill over into Q1. But what we've been a bit disappointed about over the last year when interest rates have been coming down is all the big -- all the banks' inability to improve mortgage margins that are now continue to be at a very, very low level. I mean the profitability of the mortgage product is today quite unsatisfactory. So my first question is, how do you see that mortgage margins could be developing over this year?
Jens Henriksson: Well, I think, thank you for that question. I think it's my time to answer that. And I would say that we do not forecast on that. But as you rightly said, it is a tough competition out there. We've seen that our market share was around 5% of new loans in our own channels in 2024. It was up to around 10% in 2025. And then we have ambitions to reach at least our back book market share, which is 18%. But the competition is tough. [Audio Gap] Hello, I think I've given abrupt answer, but the answer is that the competition is tough.
Andreas Hakansson: Yes. That's fine. I mean you have, of course, discounts. That's how the Swedish mortgage market work. Are you currently working with the discounts in order to improve the margins in that way?
Jens Henriksson: Well, it is a competitive market, and I'm not going to talk about exactly how we meet our customers. But I think our offering, the key point is that we come as a full service bank. That means that we have attractive prices, we are much faster and we're available. And those who seek total digital solutions, they can go to Stabelo. And we've seen that they have gained market share as well.
Andreas Hakansson: Right. And then my second question, on capital. And Jon, you mentioned already that it's still a 200 bps midpoint that you're targeting over time. Can I just ask you, is the timing of moving towards 200 related to the final investigation that's going on in the U.S.?
Jens Henriksson: Well, I think I'd answer that in a little bit overall perspective, and that is to say that we have the capital buffer range, which is between 100 and 300 basis points and as Jon said, in our 15/27 plan, we target the middle of it, i.e. 200 basis points. And then talking about the dividend, we have a dividend policy of 60% to 70% with an earnings per share of SEK 29 gives us an ordinary dividend of, what is it, SEK 20.45. And on top of this, the Board has proposed an extra dividend in SEK 9.35. That means that we have a total dividend of SEK 29.8. And with this proposal to the AGM, Swedbank is within the capital buffer range. Further capital release continues to be a judgment call depending on several uncertainties such as the long-running U.S. investigation. Timing of IRB approvals and the uncertain world we live in, and we have no intention of holding more capital than necessary.
Operator: The next question comes from the line of Gulnara Saitkulova from Morgan Stanley.
Gulnara Saitkulova: Just a follow-up on the prior question. You mentioned the competitive nature of the Swedish market. And given that, could you remind us how you are approaching the defense of your back book market share? Are you prepared to be more flexible on the repricing to retain the existing customers or margin protection is a primary focus?
Jens Henriksson: Well, of course, as Jon and I usually say, it's always a balance between market share and profitability. We've said that we want to increase the market share and when we work with our customers, always have individual price setting. And I think the main problem for us has been that we have not been fast enough or not available enough. And I boosted about that in my introduction because that's something we're very proud of. With fewer people working in -- with this, we've managed to reach above 80% of the calls that answer within 3 minutes. And we have had 30% more calls with our customers. And last time I checked, I think we had a waiting time of 14 or 13 seconds, I don't remember. But the key point is, we want to be available, we want to be fast, and we want to grow.
Gulnara Saitkulova: And the second question on the volumes in Sweden and the Baltics. How are you thinking about the loan growth into this year? And in particular, given the fiscal stimulus in Sweden and a more constructive outlook for consumer sentiment and confidence where do you expect the loan growth in Sweden to settle? Would mid-single-digit loan growth be a fair estimate for Sweden in 2026? And how the trends differ between households and corporate lending?
Jens Henriksson: Well, let me take that as well. And let me take a sort of a broader perspective in the sense that -- as I said in my introduction, the global economy has been a little bit more resilient than expected. And you saw this slightly upward revision by the IMF, but that was then closed before the trade tensions flared up again, which, of course, increased headwinds. And the good thing about Swedbank is that we operate in a region with very healthy fundamentals, strong public finances, low government debt, real wage growth, innovative companies, profitable banks and low interest rates means that our home markets remain well prepared for the future, and I mentioned the growth figures. Overall, loan demand from both corporates and private customers is still somewhat muted. In the Baltic, demand is stronger. And in terms of trade policies impacting our region, we are, as always, very close to our customers, and we can see only limited effects on companies directly exposed to increased tariffs. And the key point is that we expect growth to come from strong public investments and strong consumption. We do not go out and forecast what loan growth is what we expect for this year. But looking back at 2025, Jon talked about, we increased our loan book with SEK 108 billion with -- excluding FX effects.
Operator: We now have a question from the line of Martin Ekstedt from Handelsbanken.
Martin Ekstedt: So first, congratulations on the closure of the Department of Justice investigation. So just quickly, the outstanding DFS, New York investigation, how does this differ in scope from the one undertaken by the Department of Justice? That's my first question.
Jens Henriksson: Well, I don't want to get into the scope. But as I said, after -- we've closed now the U.S. Department of Justice without any further action. That is, of course, a relief. But we are still on investigation by the Department of Financial Services in New York. I still do not know the timetable. We -- I still don't know whether we will get any fines and if we do get the fines, I cannot estimate the size of those. And we've been as transparent as possible during this long-running process. And when something material happens, we'll continue to adhere to that principle.
Martin Ekstedt: And then secondly, we have some long-end yield curves deepening behind us now, and we've seen some upward movements on your longer-term mortgage rates as a result. But as Andreas alluded to in his question earlier, it's not really translated into mortgage margin improvement so much yet. So what is your experience currently on customers electing longer term fixed rate mortgages instead of the 3-month floating ones? That would clearly help our margins. We can see limited movement in Statistics Sweden data on a systemic level, but what is your own experience from your customer base?
Jon Lidefelt: We see the interest for floating rate mortgages is still high. So we see no major movements towards fixed rates rather the opposite.
Operator: The next question comes from the line of Magnus Andersson from ABG.
Magnus Andersson: First of all, on lending, we saw that your loan growth in the Baltics was 10% year-on-year in local currencies. If you can tell us what you think about the sustainability of the re-leveraging that seems to take place currently? And secondly, if you could just give us some outlook about what -- if anything has changed on the bank tax front there? And secondly, just on your cost target, if you can give us some color on what is embedded there in terms of headcount development and net IT investments, please?
Jens Henriksson: Well, don't get me going about bank taxes because then I need to sort of give the whole landscape. I do that, and then, Jon, you can follow up here. First, as I've done now for many quarters, let me remind you, we -- banks are an important part of our societies. We channel our customers hard earned deposits to lending thus empowering people and businesses to create a sustainable future. And to do that, we need to be profitable. And a sustainable bank is a profitable bank. We are proud taxpayers that contribute to the financing of welfare and security in our home markets. What we do not like are sector-specific taxes, retroactive measures and an unpredictable regulatory environment. What we do like is equal treatment, a rule-based system and an investment climate that fosters growth, financial stability and sustainable transformation. With that said, let me do a quick tour across our 4 home markets. In Estonia, corporate taxes are increasing. In Lithuania, corporate taxes are also up. And on top of this, since 2020, there is a 5% extra tax on banks. In Latvia, we are into the second year of 3 years with an investor tax on NII. That is bad for the investment climate and thus, the Latvian economy. During 2025, our Latvian loan portfolio increased enough to give us a deduction of 1 quarter on the investor tax. In Sweden, the government has decided on a base deduction to the bank tax while delivering the same tax revenues. The tax rate is therefore raised from 6 to 7 basis points in 2026, and the government inquiry will investigate the future design of bank tax further. Another defect of tax on the banking system is that since the end of October last year, we know we have been obliged to place an interest-free deposit of SEK 6 billion with the Riksbank. Jon?
Jon Lidefelt: Thank you. If I just add the numbers on the bank tax then, in Sweden, the risk tax due to the base deduction that Jens talked about was increased to 6 basis points. That had an impact of us of SEK 50 million, around SEK 50 million. Then you have the SEK 6 billion in the Riksbank's reserve requirement that we do not get an interest rate for. The cost for that until June and then for 2026, which is the period is SEK 71 million. And we are reporting that under bank tax, and we have taken the full cost upfront in this quarter. So the total SEK 71 million is accounted for in this quarter. If I then move back to your question on cost target FTE and IT. I mean our cost target of SEK 27.5 million is inclusive of the fact that we know that we need to continue to invest quite a lot in order to make sure that we are relevant for our customers also going forward. So that is included in that. Then we do not forecast on FTEs. We have a strict hiring policy. We know that we need to continue to work heavily on efficiencies. Otherwise, we will not be able to meet our long-term objective that we set out when we presented 15/27, namely to over time in a stable [ rate environment ] to increase profit over time. In order to do so, we need to improve efficiencies. And of course, if you extrapolate that in the long run, then it will be very restrictive on FTEs and rather downwards and upwards, but we don't forecast that in the short-term.
Magnus Andersson: Two follow-ups. First of all, my question regarding taxes was really, if there is anything new on the horizon in the Baltics, but it doesn't sound like it? And secondly, if you could comment on volume growth in the Baltics and the re-leverage, that's ongoing sustainability there, what do you see?
Jon Lidefelt: Sorry, I forgot that one. But no, there is nothing new. The Lithuanian bank tax is falling off this year or has been falling off. Remember, though, that there is a 5% extra corporate income tax that is permanent for banks in Lithuania. The Latvia, as Jens alluded to, we have no news or any -- on any changes. Estonia, there is no bank tax, and they also withdraw the increased corporate income tax. It's not a bank tax, but they changed there. So short answer, no. When it comes to the sustainability of the growth in the Baltics, keep in mind that the loan to GDP, especially in Latvia and Lithuania, is very low, around 20% in Lithuania, both for corporate and private. So there is room to have a good and high continued increase without creating balances in that sense. The worry from our side would then rather be on the quite high salary inflation. If that is not met over time by productivity improvements and that in the longer run risk leading to some imbalances. But otherwise, the lending growth is not. In Latvia, even so that, I mean if you go back to the financial crisis, it's been a continuous de-leveraging in the society. Estonia has leveled out a bit. So I think it is sustainable as long as other things in the economy is sort of sustainable as well and then not at least then that the wage growth is in line over time with productivity.
Operator: We now have a question from the line of Sofie Peterzens from Goldman Sachs.
Sofie Caroline Peterzens: This is Sofie from Goldman Sachs. So my first question would be on Entercard. You mentioned a few times that you plan to de-risk and cost of risk will only be 1 to 2 basis points higher. If you look at the 2025 numbers, cost of risk would have been kind of 6 basis points roughly. How should we think about the net interest income impact from the deal -- de-risking and also the fact that you're selling some of the back book of Entercard? And then the second question would be on the VAT refunds. You had SEK 1.5 billion of VAT refunds in 2025. How should we think about VAT refunds in '26?
Jon Lidefelt: Thank you, Sofie. Yes, you're right. We've put up, and I guess your question around NII and Entercard is then referring to the fact that I said that we will -- from going forward, we will report the back book of consumer finance as held for sale. It means that in the longer run, we would want to sell it. The new inflow has been adjusted. It will take some time. It's not going to happen in the near future, but over time, that will go out. I also said that we will implement a strengthening of our organization in the -- as of March 1, and that we look at the Entercard strategy in conjunction with that. So when we present the Q1 report, we will come back with more details on both those matters, how they are linked together and how they support 15/27. But there's no changes in the short-term when it comes to the back book. When it comes to the VAT, we have then 2024 that we could get something back for. The amounts are gradually shrinking a bit. And as the interest rate has come down and going forward, we have included this in our ordinary business unless something unexpected is coming in. And from this year -- from last year when we started to get the VAT back, we have also adjusted sort of how much VAT that we account for in our business. So I don't expect the same type of amounts going forward as we have had presented for 2025, it's going to be on a different level.
Sofie Caroline Peterzens: Okay. And just to be clear, after 2026, we shouldn't see any more VAT refunds?
Jon Lidefelt: No major ones. As I said, we have 2024 that could be up for something. We haven't applied for anything there. But compared to the amounts that we have seen now historically, it's much, much smaller amounts. Then there is always sort of small adjustments in the tax paid since -- but that's not on these major levels that we've seen. So nothing major going forward is what I expect.
Operator: The next question comes from the line of Nicolas McBeath from DNB Carnegie.
Nicolas McBeath: So I had a question on the implications from the DoJ investigations. So now that it's settled or closed actually without any penalties, and we are approaching the end of this investigation. Can you comment and help us understand if you have any substantial excess resources in the bank working with these investigations or with AML that you think you can reduce? There seems to be some expectations among some investors and parts of the market that there is significant potential here. So it would be helpful if you could help us kind of clarify this.
Jens Henriksson: Well, when we started this work, it costs a lot of money, but we've seen that, that costs have decreased substantially. I think the last time we sort of gave it out as a special part of our cost was like more than a year ago. And I mean, we do not have -- it's very small costs associated with this.
Nicolas McBeath: So that's for the investigations. Could you comment on how many employees you have in the bank working with AML and what you think is kind of the long-term level that you should be as to be compliant and be well resourced from a AML perspective?
Jens Henriksson: I would say we have around 17,000 people in the bank working fighting money laundering, because that's everybody in the bank. And I think that everybody's role to do that. Then we have something called economic crime prevention, which is a group within the bank. And they always continue to adjust whether they can use new technology. And we always search for efficiencies there. The key point is this is an integral part of the bank's work and it will keep on being that way. So we don't get into the same position we were a few years ago.
Nicolas McBeath: All right. And then my second question, just a question on the cost guidance. For the 2026 cost guidance, do you have any implementation costs for Entercard included? And have costs related to the consumer finance back book being excluded. So you're basing that cost guidance on some costs falling off from that business being divested?
Jon Lidefelt: No, we have not adjusted the Entercard cost going forward. We have assumed sort of some efficiency gains from Entercard just as we generally do for the bank as a whole in the SEK 27.5 billion. But then you're right that in the longer run, there might be other synergies that we have on a very high level, talked about before. But when we present both the adjustments of the organization and the strategy for Entercard going forward, we will allude more on those.
Operator: We now have a question from the line of Jacob Kruse from Autonomous Research.
Jacob Kruse: [Technical Difficulty]
Operator: The connection with the questioner has been lost. We will proceed by taking the next question, which comes from the line of Riccardo Rovere from Mediobanca.
Riccardo Rovere: Just one, it's not 100% clear to me whether you think your managerial buffer for common equity Tier 1 [ purposes ] in the foreseeable future is going to be 300 or maybe the middle of the range, 200 basis points and somehow related to that. I just wanted to have an idea if you have been active in SRT or you think you could be active or something that you're looking at in the foreseeable future to optimize your capital absorption?
Jon Lidefelt: Thank you, Riccardo. Yes, as Jens said, we are now in our buffer range of 100 to 300. Then the long-term target of 200 still stands. And when we will get in there, as Jens said, it's a judgment call based on the various uncertainties. I think if you look into the future that SRTs will be a tool, we have not used it now, but we're definitely not ruling it out in the future.
Riccardo Rovere: Okay. And just a very, very quick follow-up. But in the foreseeable future, given maybe geopolitical tensions, do you think it's more appropriate at least for the moment to stay at 300?
Jens Henriksson: Well, I think Jon answered that direct and that is that further capital release continues to be a judgment call depending on the several uncertainties such as the long-running U.S. investigation, the timing of the IRB approvals and the uncertain world we live in. And as I've said, we have no intention of holding more capital than necessary.
Operator: The next question comes from the line of Markus Sandgren from Kepler Cheuvreux.
Markus Sandgren: I was just going to come back to the capital question. The 100 bps you got in add-on in P2R for IRB noncompliance, is the best guess of the net effect of that and reinflation still 50 bps lower requirement net-net?
Jon Lidefelt: Thank you, Markus. If you go back, if I take some time back, then we said that when we are through the IRB approvals, we expected at least 50 basis points positive impact, which then mainly was related to the fact that we have this Pillar 2 add-on in Sweden, and the fact that, that is also related to mortgages, which is under the mortgage floor. Then when we presented reports last year when we had the SREP in Q3 last year, then we concluded that they had adjusted that due to the new capital adequacy rules for standardized. So we back then got to 20 bps release. So of the 50, we had gotten 20. So in that sense, that would be 30 basis points left of that.
Operator: [Operator Instructions] We now have a question from the line of Jacob Kruse from Autonomous Research.
Jacob Kruse: I hope you can hear me this time. I just wanted to ask, firstly, on your AI -- where your thinking is on AI. Do you see at this point near-term opportunities to reduce staff by the deployment of AI? Or is it still more of an exploration mode? And then my second question is just on commission income. How do you think about the -- I think in the quarter, you had about SEK 100 million of one-offs? And I think it was a relatively solid quarter across most product lines. How do you think about the outlook here? Is this in line that can continue to grow? Or do you need to see a meaningful pickup in the domestic economies?
Jens Henriksson: Well, first, a few words on AI and then Jon will follow up. And we've used AI for a long time. We used that in anomaly detection and we're using it more now. And one cool thing that me and the full Board was doing a few months ago was listening in on calls and you see call summarization by AI. This is a very cool feature. And that, of course, is an instrument that our customer representatives can use to be more available because they don't have to spend that much time on writing summaries. They can be there for our customers. And that's one of the reasons we're seeing that our availability has increased so much, and we have so many more calls with our customers. And we see continued use of AI within the bank. That said, we steered the bank on cost and not on FTEs. And we want -- which we're very clear for this, we want to do more business and we want to meet more customers. So that is my point on that. Jon?
Jon Lidefelt: And if I then go into the NCI, yes, you're right, we had a one-off of roughly SEK 100 million part from the -- on this, which was then related to retail product that we decided to close several years ago, but that has now been running off. If you look at NCI, then -- and remember what I've said before is that we are the biggest when it comes to bank [indiscernible] and payment processing in Sweden. [ Bank Europe ] increased the commission expense for our customers by 30% in the beginning of this year. This is due to the big investments needed to transform the Swedish payment system. That is more visible. It's the same for everyone, but it's more visible for us since we are the biggest. What they also did in the fourth quarter, they added a one-off commission cost, which in our case, was around SEK 35 million that, of course, is weighing on this result. And I think this will be there as long as this is in the investment phase that the cost -- commission costs will be higher on that row and hence, weigh on the net. Card commissions are seasonally a bit lower in the quarter compared to the third quarter where you have the summer months and with people traveling and so forth. But then you also have, over time, a big movement between rows here because we are working more with concepts, both in the Baltics and Sweden, which means that some income has moved from the card line to service concepts. Over time, this is something that we believe is good both for our customers and for us. Asset Management is long-term growing. What you think you need to remember here is that we have around 40% of our fund capital denominated in U.S. dollars. And of course, the strengthening of the Swedish krona is, to some extent, and hence, counterbalancing the strong stock markets in U.S. But this is definitely over time, a good and growing income for us. And if you look at 15/27, this is an important area, and Jens also talked about now celebrating 2 years with the Premium and Private Banking business area, which is also a testament to that this is an area where we see long-term growth, and it is important and it's in our DNA.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Maria Caneman, for any closing remarks.
Jens Henriksson: Well, I'll steal the word then I say thank you for calling in. And I think as Jon and I have talked about today is that Swedbank is well positioned for sustainable growth and profitability by strengthening our customer tractions, grow our volumes and continue to increase efficiency and the future of our customers, our focus. Looking forward, meeting you either on the road, on teams or next time in April. Until then, take care, and thank you for calling in.